Operator: Good day, everyone and welcome to today’s Gannett fourth quarter 2007 earnings conference call. Today’s call is being recorded. Due to the large number of callers, we will limit you to one question or comment. We greatly appreciate your cooperation and courtesy. Our speakers today will be Mr. Craig Dubow, Chairman, President, and CEO; and Gracia Martore, Executive Vice President and CFO. At this time, I would like to turn the conference over to Gracia Martore. Please go ahead.
Gracia C. Martore: Thanks, Amy and good morning. Thanks for joining us today. Welcome to our conference call and webcast in which we are going to review our fourth quarter 2007 results. Hopefully you’ve had the opportunity to review the press releases we distributed this morning. They also can be found at www.gannett.com. With me today are Craig Dubow, Chairman, President, and CEO, and Jeff Heinz, Director of Investor Relations. Chris Saridakis, our new Chief Digital Officer, is here as well and we welcome him to the team. Having just updated you in-depth in early December, we will keep our comments brief today. Craig will provide an overview of the company’s quarterly results and talk about some recent developments in our strategic efforts. I will then follow with some details regarding the quarter. Craig.
Craig A. Dubow: Thanks, Gracia and good morning, all. Last year we told you 2007 would be a year of executing on our strategic plan. It was and today I plan to talk about the importance of some of those accomplishments and the progress that we have made in our transformation. Most impressive, I believe, is that this progress was achieved in an advertising environment that has been challenging at best. Briefly for the year, we generated revenues of $7.4 billion and operating cash flow of just over $2 billion, despite the dramatic impact the real estate slow down and the softening economy had on advertising, and the near absence of $112 million in ad revenues associate with the Olympics and the elections we achieved in 2006. Now to the quarter -- at our presentation at the UPS conference in December, we told you our results would depend on the last couple of weeks in December. Despite a step down in advertising demand at the end of the quarter, we delivered earning results in the range we provided in December. That advertising softness impacted our results, as did a variety of other factors. These included an almost complete absence of political related advertising demand. Also, we had the extra week in 2006 that makes all comparisons that much more difficult. On the expense side, we recorded costs of approximately $38 million for severance and facility consolidations related to a number of efficiency efforts, both in the U.S. and in the U.K. Additionally, we took a non-cash after-tax impairment charge of about $51 million related to the value of some of our mastheads. The charge is modest and I think it’s important to note that it will not have any impact on our operations or cash flow. But as a result of these items, assessing trends based on comparisons to the fourth quarter of 2006 is more difficult. So bottom line for the quarter, despite the difficult economic environment and soft advertising market, earnings per share was $1.06. EPS would have been $1.28 excluding the impairment charge. Total operating revenues were $1.9 billion for the quarter. Once again, we continued to size our expenses relative to the revenue picture. This continues to reflect our twin focus on an appropriate cost structure based on new realities, that mindful of not confusing short-term cyclical issues with longer term structural ones, and strategic investing in areas with potentially great growth promise that requires short-term resources, such as metro mix. In the fourth quarter, our community newspapers in the U.S., the slowing economy driven by the meltdown in the housing market in some of our communities, all contributed to a very soft advertising environment. As we have highlighted in the past, four states in which we have a presence and the four states hardest hit by the downturn in real estate -- Arizona, California, Florida, and Nevada -- had a larger relative impact on our results. Classified advertising was clearly the most severely impacted. Local advertising was down in the low single digits on a comparable week basis, reflecting macroeconomic trends that led to slower retail spending late in the holiday season after a positive November. National advertising was down in the quarter at our domestic community newspapers and USA TODAY, although some categories were very strong at USA TODAY regardless of the difficult comparisons brought on by the extra week. At Newsquest, our operations in the U.K., advertising softened as uncertainty increased in mid-December. There results were skewed by the extra week, but online revenue growth there was substantial in the fourth quarter. At our broadcasting segment, revenues declined as expected as we compared against almost $58 million in election related spending that benefited the fourth quarter last year. Here to, while the comparison was very tough, several categories were in positive territory for the quarter. Online was up significantly as well. As to the rest of 2008, we are well-positioned to take advantage of the anticipated political spending that will occur as we head toward November and the Summer Olympics in Beijing will give us a nice boost as well. Returning to digital for a moment, across the board it has been positive. From the year, online revenue totaled over $460 million. That’s larger than many pure-play digital companies. It grew significantly in the quarter, although the growth rate was tempered by the absence of the extra week. Company wide, the growth rate was over 11%, driven by increases of 18% in broadcasting and 31% at Newsquest in pounds. Point roll was up strongly as well, 34%. Traffic at our domestic sites for December reached 14.5% of the Internet audience, with almost 24 million unique visitors. Newsquest sites had over 62 million page impressions and about 4.8 million unique users. Finally, at CareerBuilder, North American network revenue grew for the quarter and traffic averaged 18.6 million unique visitors. The continued growth of our digital revenues highlights the promise of our transformation and our focus on the digital front. Our overall mission in transforming the company is straightforward. We will provide must-have news and information on demand across all media, ever mindful of our journalistic responsibilities and we believe that there are tremendous opportunities in the media space as we fulfill that role. Digital clearly is a key to that. In any transformation, execution is the tough part and we know it. Over the past 18 months, we have executed on a number of fronts, including infrastructure, content, social networking, and site standards. We remain committed to being the provider of local news and information in all of our markets and we will look to expand that content nationally when we find those opportunities. Our transformation is firmly underway. Our online stalwarts, CareerBuilder, Classified Ventures, and Point Roll, continue to grow. CareerBuilder remains the clear leader in online employment. They are expanding internationally and announced earlier this week the launch of CBJobs.es, a new online job site dedicated to serving the recruitment and job search needs of employers and workers in Spain. Classified Ventures is investing in its brand. Actually, look for the ads from both CareerBuilder and Classified Ventures, cars.com, during the Super Bowl this weekend. Point Roll revenues and bottom line are up nicely this year, and more on those developments in just a minute. We reach more people in our markets through a variety of publications and platforms than we ever did with a single platform and, judging by nearly $0.5 billion in digital revenues, we are moving towards successful monetization of these efforts. We are giving our audiences more options. We standardized a web offerings, added social networking through Pluck, improved our video offerings, which have grown dramatically through our affiliation with Maven and the platform, and expanded our mobile and tech solutions. A strong foundation and infrastructure are for the most part now in place. We have an unparalleled ability to gather and disseminate news and information through a powerful combination of core and digital assets. We can now leverage our local content to offer national scale to advertisers. Great examples of this were highlighted in the fourth quarter. We announced a joint venture with Tribune Interactive to expand the Metro Mix brand and we acquired a controlling interest in Schedule Start LLC and highschoolsports.net. We expect to invest in them as we did with indymoms.com -- take the local content, develop it, and showcase it through a national brand. Clearly there is an awful lot going on at Gannett, particularly in digital, which brings me to Chris Saridakis, the former CEO of Point Roll, our rich media company. Chris is here to help shoulder the load and turbo charging our digital efforts. His title is Senior Vice President Chief Digital Officer for the company and his job, along with Jack Williams as President of Gannett Digital Ventures, is to take us quickly to the next level. That means customers, and customers have always been the focus for Chris. He understands technology and marries that with consumer behavior to create solutions for advertisers. Not only does he bring a lot of knowledge, ideas, and enthusiasm to the effort, but also most importantly, he is ready to execute much in the same way as he did with Point Roll. We are very excited to have him on board. And a final note -- we announced that Sue Clark-Johnson, President of the Newspaper Division, will retire in May. Sue leaves us after 40 years at the Gannett Company, during which she was instrumental in influencing the direction of our newspapers and most recently, our groundbreaking information center efforts. Hers was the energy behind their successful rollout. Her legacy will be one of great stamina and execution. Sue, thank you for all of your efforts and your leadership. With that, let me turn the call over to Gracia.
Gracia C. Martore: Thanks, Craig. Before we go into detail on our quarterly results, I have the pleasure of reminding you that our conference call and webcast today may include forward-looking statements and our actual results may differ. Factors that might cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures and we’ve provided a reconciliation of those measures to the most directly comparable GAAP measures in the press release and on the investor relations portion of our website. Now I’d like to focus a little deeper on our quarterly results, particularly on the expense side. As Craig mentioned, comparing this quarter to 2006’s fourth quarter reported results will not be very helpful in assessing trends, so where possible, I will discuss the results on a comparable basis, 13 weeks to 13 weeks for the quarter. In addition, we included in our revenue and statistics release today, revenue comparisons for the month, quarter, and year on a comparable week basis. One reminder -- we noted last year that the extra week added about $0.05 in earnings per share in the fourth quarter last year. Let’s begin with the newspaper segment. As Craig mentioned, the advertising softness late in the quarter had an impact on our results and exacerbated some of the cyclical trends we were experiencing in our markets. Revenues from local advertising were down 3.3%, national advertising and classified advertising both were down over 11 for the quarter, all on a comparable week basis. At our domestic newspapers, advertising was 9.3% lower on the same basis, resulting primarily from the real estate slowdown, which continued to drive the decline, particularly in the states we have discussed before -- Arizona, California, Florida, and Nevada. The declines for the classified categories in most states were generally two times higher than the rest of our markets. In fact, properties in those states accounted for 40% of the decline in ad revenue and over 50% of the impact on NIBT in the quarter after adjusting for the 53rd week for our domestic community newspapers. National advertising’s decline reflected a little tougher environment for USA TODAY with ad revenues down excluding the extra week. However, some categories in the quarter, financial, advocacy, and packaged goods, were up strongly in the period. At Newsquest in the U.K., advertising trends were promising but softened in the last few weeks of December. Local and national categories, which had been positive and moving in the right direction, stalled a little. Excluding the extra week and on a constant currency basis, Newsquest finished the quarter with total revenues about 5% lower. Turning to the broadcasting segment, pro forma revenues were down 18% on a comparable week basis. The decline reflects the relative absence of politically related advertising demand, that totaled almost $58 million in the last quarter of ’06. If you exclude that political advertising, net time sales were down in the low single digits, although categories including packaged goods, telecom, medical, and banking were up nicely. At this point, pacings are down in the middle single digits for the first quarter. As always, keep in mind that pacings information can be volatile, particularly in a political and Olympic year. We fully expect stronger results in broadcasting this year because we are well-positioned in our markets for the much anticipated political spending, as well as Olympics. But the results will not be spread evenly across the quarters. We will keep you updated in our monthly results but let me remind you that in the first quarter, the Super Bowl will not be on our CBS stations as it was last year. In addition, Indianapolis, the other Manning’s team, is not playing this year so our Indianapolis paper won’t have the benefit of a couple of million dollars from that event that they had in ’07, as Barbara Henry keeps reminding us. Moving now to expenses, two items in the quarter had a significant impact there. The first was the impairment charge Craig mentioned at the outset of the call. We completed our impairment testing of goodwill and other intangible assets during the close of the fiscal year. The result was a modest non-cash impairment charge of $72 million pretax or $50.8 million after tax, or $0.22 of EPS. The write-down is related to the value of certain mastheads from some of our recent acquisitions in the U.S. and the U.K. As Craig noted, these non-cash charges have no impact on our operations or our operating cash flow. The second was $38 million in pretax severance and facility consolidation costs related to continued efforts to achieve efficiencies and better align our expenses to our revenue opportunities across all of Gannett. If you include the impairment charge and the severance expenses, and the extra week in 2006, total operating expenses were 7.1% lower for the quarter. But excluding that impairment charge only, they would have been down 11.6%. Newspaper segment expenses were significantly lower as well, down about 6.5%. Newsprint expense declined over 25% due to lower volume of about 19% and lower newsprint prices of 8%. On a pro forma constant currency cash basis, excluding that non-cash impairment charge, newspaper segment expenses were actually 13.3% lower in the quarter. In our broadcasting segment, expenses declined 11.3% and as you saw, corporate expenses were down 17.8%. On comment regarding newsprint. Throughout 2007, we realized favorable domestic newsprint price reductions. It appears that cycle has ended, however, with prices poised to rise. Producer capacity rationalizations and curtailments are substantial factors in this price shift. However, industry wide web width reductions and basis weight conversions will act to temper these curtailments. Gannett will continue to work with all of its domestic producers to develop a reasoned approach that affords stability for both industries. Last year at Newsquest, European market prices rose moderately but are expected to decline in the mid- to high single digits this year. Before we move to the balance sheet, let me detail another item that impacted the presentation of our results this quarter. We have a new line item in the non-operating section of our income statement called equity income and unconsolidated investees net, into which we reclassified our equity share in the operating results of our newspaper partnerships. These are Texas, New Mexico, and the California newspapers partnership, in which we hold minority investments, and the Tucson JOA. In the past, these were reported in other operating revenue. We also reclassified our portion of the equity earnings of our online and new business investments, including CareerBuilder and Classified Ventures, to that same line item from other non-operating income. So that line item now includes our share in those partnerships and the equity earnings and losses from our online and new technology businesses. Turning quickly to the balance sheet, total debt at year-end stood at $4.1 billion and cash was $77 million. At this point, our all-in cost of debt is 4.7% with commercial paper at 3.8% and falling. Capital expenditures for the quarter totaled approximately $77 million and we finished the year with $171 million of CapEx. With respect to shares outstanding, shares at the end of the quarter were $230 million and the basic quarterly average was $231.4 million. We repurchased 2 million shares in the fourth quarter and 4.8 million shares for the year. Looking ahead, as we discussed with all of you last year, the economy has clearly softened, adding a lot of uncertainty into the equation. We are facing continued cyclical headwinds as we gauge the consumers’ ability to weather the overall state of the economy, particularly the housing market and higher oil prices. And we can’t predict what the impact of the Fed’s recent actions and other stimulus initiatives will have over the next several months on this economy. So our plan is to focus on managing what is in our control as we work through to the eventual turn in the cycle, as Gannett always has done. Now we’ll stop and take your questions. Amy.
Operator: (Operator Instructions) We’ll go first to John Janedis with Wachovia.
John Janedis - Wachovia: Thank you. Good morning. Gracia, can you just talk about pricing changes in ’08 for classifieds in the four markets you’ve been talking about now for the last few quarters? Are you pushing through increases in the low singles or maybe dropping rates in an effort to drive volumes? Thanks.
Gracia C. Martore: John, frankly it varies market to market and newspaper to newspaper. We are very mindful of each market’s individual characteristics and in some we can press pricing and in other areas, we are not afforded that ability. So we are just being very cognizant of what our advertisers are looking for and being focused on what we need to do to drive revenues to the company.
John Janedis - Wachovia: Thank you.
Operator: We’ll take the next question from Karl Choi with Merrill Lynch.
Karl Choi - Merrill Lynch: Good morning. I just wondered if you can talk a little bit about what you are seeing so far in the new year. Has the decline been similar to what you were seeing in December?
Craig A. Dubow: Sure. I would say this, that very much of what we were seeing in December, particularly when we met at the conference, continued and then it further pushed itself downward with all the turmoil. What we are seeing right now as we go through the first quarter is quite similar to that as we go forward. We are hopeful that we are going to be seeing some pick-up in the political on the television side as we move through Super Tuesday and into the overall election period toward November. And the same as we move toward the Olympics but overall right now, we are seeing pretty much a continuation from what we saw in December.
Karl Choi - Merrill Lynch: And just one last question actually -- Gracia, can you tell us what the non-newsprint cash expenses, how much were they for the quarter?
Gracia C. Martore: I think we went through that but let me see if I can grab those numbers out again. On a pro forma constant currency excluding the impairment charge, the newspaper segment was down 13.3%.
Karl Choi - Merrill Lynch: Is that excluding newsprint or including newsprint?
Gracia C. Martore: No, that includes newsprint. If you exclude newsprint, it was about a little over 11% on that same basis.
Karl Choi - Merrill Lynch: And should we expect that to be sustainable into the new year?
Gracia C. Martore: We just have to recall that the first quarter of the year and particularly January, is our smallest revenue month and the quarter is our smallest revenue quarter, so our fixed costs would play a bigger role in the quarter. But clearly we are very focused on continuing to align our expenses with whatever the revenue opportunity is out there while balancing it with making important strategic investments in product and in other areas to have the right mix when we emerge from this cyclical downturn.
Karl Choi - Merrill Lynch: Can you tell us what headcount was down in the year?
Gracia C. Martore: On a pro forma basis, fourth quarter over fourth quarter, headcount was down in the mid- to high-single-digits.
Karl Choi - Merrill Lynch: Great. Thank you.
Craig A. Dubow: Karl, just to jump back, with one exception in what we are seeing at USA TODAY, we are seeing a little bit of pick-up for January and that is a more positive trend than what we were seeing certainly through December as well.
Operator: We’ll go next to Alexia Quadrani with Bear, Stearns.
Alexia Quadrani - Bear, Stearns & Co.: Thank you. With regard to your comments, Craig, just about January seeing a little bit of a pick-up from December, is that also true for the U.K.? Are the trends similar there as they are in the U.S.?
Craig A. Dubow: Well, first let me -- the pick-up is just with USA TODAY. I would say we are seeing for the most part pretty much in our other publishing areas as well as broadcast pretty much the same. We saw, as you know, in the U.K. a softening as we went through the end of the year, particularly the last few weeks and that has not picked up for us at this point, Alexia.
Alexia Quadrani - Bear, Stearns & Co.: And then with the pick-up in the USA TODAY, does that suggest you might see a positive growth there or is it still way too early to sort of go that far?
Craig A. Dubow: I think it’s way too early at this point. We’re just going to have to see. This is a very interesting market, to say the least.
Alexia Quadrani - Bear, Stearns & Co.: And on the -- I apologize if I missed this but were the profits also down at Newsquest in the fourth quarter?
Gracia C. Martore: Yes, they were down slightly in the U.K. in the fourth quarter.
Alexia Quadrani - Bear, Stearns & Co.: But less than the decline in revenue, is that fair?
Gracia C. Martore: I’m quickly flipping to that page. I don’t think that that is the case but let me just grab those numbers out in front of me. I think that the profit decline was a little bit higher than the revenue decline.
Alexia Quadrani - Bear, Stearns & Co.: And then back to the U.S. on the political, can you give us your expectations of what I think you are looking for in the first quarter for election dollars?
Craig A. Dubow: I’ll tell you, it has been kind of a mixed bag in the way that it has come together, particularly with the change of the caucuses, timing of the caucuses, as well as for the primaries. You know, we’re I think at this point a little behind where we thought we would be but overall in general, what we are expecting as the year builds, we’re not changing our thoughts on where we were. It should be a very robust political season.
Alexia Quadrani - Bear, Stearns & Co.: Okay, and just lastly, Gracia, was there any reason I guess behind the reclassification of the equity interest that you mentioned?
Gracia C. Martore: Well, as is the annual practice of the SEC, they provided a comment letter on our 2006 10-K. They asked a few questions about it. As we looked at it carefully here, given that our equity investments in various Internet businesses are continuing to increase, we felt that this was the appropriate time to combine those partnerships together with those investments and put it in one line, which is the more typical treatment on the P&L.
Alexia Quadrani - Bear, Stearns & Co.: Okay. Thank you very much.
Operator: We’ll take the next question from Peter Appert with Goldman Sachs.
Peter Appert - Goldman Sachs: Thanks. Gracia, you guys really have done yeoman like work in managing the cost side of the equation. I’m just wondering, sort of following on what Karl was asking earlier, the sustainability of margins in the context of the newsprint price increases and what I would have to think at this point would be limited opportunity for further headcount reductions, do you think you can sustain the current newspaper segment margins in ’08, given what you are seeing from a revenue standpoint?
Gracia C. Martore: You know, obviously it will be a little bit tougher as the newsprint prices turn from being a positive impact to a neutral to a bit of a headwind for us, but we are continuing to look at further consolidations and centralizations of operations and properties. We’ll continue to take advantage of technology improvements, so we’ll continue to do a strong job on the expense side. Whether we can maintain margins or not, we’ll just have to see how each quarter unfolds and where the economy goes each quarter.
Peter Appert - Goldman Sachs: And then, just continuing in the tradition of ignoring your request for one question, the FX impact please for the quarter on earnings, and can you tell us what the CareerBuilder revenues were for the quarter?
Gracia C. Martore: The impact of foreign exchange was around $0.01 for the quarter, and on CareerBuilder revenues, I don’t believe they have released those numbers yet.
Peter Appert - Goldman Sachs: Okay. Thank you.
Operator: We’ll take the next question from Craig Huber with Lehman Brothers.
Craig Huber - Lehman Brothers: Good morning. Thanks. Just for clarity, this down 11% non-newsprint number you gave, Gracia, for cash costs there, that includes the extra week a year ago, correct?
Gracia C. Martore: Yes, it does.
Craig Huber - Lehman Brothers: Do you have it without the extra week a year ago, so apples and apples?
Gracia C. Martore: It would be a percent or two lower than that.
Craig Huber - Lehman Brothers: Okay, and this headcount, you said down roughly 6% to 8% year over year pro forma. Do you think you have enough slack in the system where you can take that out again, that similar number in this new year?
Gracia C. Martore: I don’t think anyone here at Gannett believes we have slack in the system. However, we continue to look at opportunities, as I said, to further consolidate things and centralize things as technology allows and as we continue to look at opportunities, both internally and externally. So we will I think continue to do the job you’ve come to expect of us to do on the expense side.
Craig Huber - Lehman Brothers: And then lastly, have your thoughts changed at all on potentially selling or spinning off your TV station group as you think out over the next year or so, Craig?
Craig A. Dubow: No, we always look at all elements of it but I have to tell you, with what we are facing certainly this year, some really great opportunities. We are moving forward. We are real excited about what the group has already produced and we’re looking forward.
Craig Huber - Lehman Brothers: I’m sorry, but what about once we get through the political/Olympics this year as we go into 2009, so that’s behind you?
Craig A. Dubow: We will always continue to assess everything, as we have in the past, but at this time from what we can see right now, we see a good upside and opportunity with the group as we go forward.
Craig Huber - Lehman Brothers: And then just lastly for clarity, your January comments, you are saying they are very similar to December with the exception that USA TODAY looks better -- is that correct?
Craig A. Dubow: That is correct, yes.
Craig Huber - Lehman Brothers: Great, thanks, guys.
Operator: We’ll take the next question from Fred Searby with J.P. Morgan.
Fred Searby - J.P. Morgan: Just a question on the U.K. -- there’s been a fair amount of concern about the housing market and potentially a real meltdown in the U.K. housing market. I know that’s more sort of focused on London, the city, but can you talk about just helping us what you think is happening? And is that what really started to fall off for Newsquest in December? I think you basically said that things started to decline a little bit. Is that real estate related? I know you are more south in England -- unusual situation but what your outlook is and whether you are starting to see that?
Gracia C. Martore: Fred, I think really clearly real estate was impacted a bit, but I think really in a more general way, it frankly reflected I think the uncertainty that many advertisers were seeing in the marketplace in mid-December, both with the equity markets and with some of the meltdown on the sub-prime situation. And so I think that uncertainty caused advertisers to be a little bit more cautious in their spending. January does not necessarily make the trend for the year. We’ll just have to see how that plays out and what they do in the U.K. vis-à-vis their own economy and what they do ultimately on interest rate cuts and the like. But obviously it’s gotten off to a slower start than any of us had hoped for. But our team there in the U.K., led by Paul Davidson, they are pros and they have managed through these kinds of cycles in the past and they will continue to do the job on the expense side as they have traditionally done, whichever way the revenue opportunities go.
Fred Searby - J.P. Morgan: Thanks, guys.
Operator: We’ll take the next question from James Goss with Barrington Research.
James Goss - Barrington Research: Thank you. One broader question first -- how do you see the end game for classifieds? There seems to be an increasing concern that maybe it’s not just some of the help wanted and automotive that’s siphoned off to online but that the mix will continue to shift for all of the categories, despite some pretty good efforts on your part. How do you see it ultimately leveling off? I know you are on both sides but it has hurt to this point.
Gracia C. Martore: I think with regard to the end game for classifieds, it’s probably a little bit early to predict where it will be. That’s why I think it behooves us to continue to position ourselves across the spectrum and on whatever platform those classifies end up being on. We have a very strong presence in all of our markets on the print side, both through our daily newspaper as well as various non-daily publications and niche publications. And then on the online side, we have robust websites in those local communities, together with great national solutions through CareerBuilder, cars.com. On the real estate side, we have very good solutions across all the platforms and you know, you may see us do more in that arena as well. But I think that what we need to do is make sure that we are positioned wherever those classifieds go.
James Goss - Barrington Research: But the mix shift in favor of greater share online is not something that’s nearing completion, by any stretch. It’s probably still going to be an issue for quite some time.
Gracia C. Martore: I would suspect that we would continue to see some migration. It will perhaps be at a faster rate in some larger markets than it is in some of the small to medium sized markets, but I think we’ll continue to see migration.
James Goss - Barrington Research: Just a smaller thing, with the change in accounting you’ve made to the equity line, could you provide any framework for what you think the size and any seasonal pattern might be as you are looking at it at this point for the year?
Gracia C. Martore: That continues to be difficult to say. Obviously as we indicated in the equity investee line, that’s a combination of newspaper partnerships and I would suspect that the trends there will be not dissimilar to the trends we see in the rest of our newspaper properties. With regard to the digital investments that are in that line, CareerBuilder, Classified Ventures have done well but there may be some more investment there and then we will have the investment to ramp up the Metro Mix rollout, so we are going to see investment dollars going there as we indicated. How those will ramp each quarter is tough to foresee right at the moment. It will be somewhat lumpy but we will keep you posted each quarter.
Craig A. Dubow: In addition to that, Jim, you’ll also see the high school sports rollout as we go through and forward this year, so there will be other investments that way as well.
James Goss - Barrington Research: Last quick thing -- the Wall Street Journal and USA TODAY, aside from both being national products, haven’t traditionally been especially competitive products, but do you think in the hands of News Corp as they try to broaden the appeal, that there might be any greater competitive overlap than there historically has been?
Craig A. Dubow: We will continue doing everything from a marketing end that we can. We are very proud of the product that Mr. Moon at USA TODAY is putting out and we will continue to amplify in the areas that will keep us very, very competitive in that arena. But we are very excited about the continued opportunities.
James Goss - Barrington Research: All right. Thanks a lot.
Operator: We’ll take the next question from Paul Ginocchio with Deutsche Bank.
Dave Clark - Deutsche Bank: Good morning. This is Dave Clark for Paul. Gannett and Tribune have worked together on a number of Internet projects over the years and I’m wondering with the new ownership and management at Tribune, how you see that relationship evolving. Have you met with Mr. Zell and have you gotten a sense of his attitude and/or his plans for your joint ventures and future Internet collaborations? Thanks.
Craig A. Dubow: Dave, thanks for the question. Yes, we have met with Mr. Zell and we are looking forward to the opportunities of continuing our partnerships and moving forward obviously with Metro Mix and other. We like the opportunities it provides and certainly we are in sync from that end. I know Sam is very interested in the growth opportunities as well from what he sees, so as far as I am concerned, that will continue to be a very collaborative effort as we go forward.
Dave Clark - Deutsche Bank: Great, thanks.
Operator: We’ll take the next question from Ken Silver with Royal Bank of [Scotland].
Ken Silver - Royal Bank of Scotland: Good morning. My voice is bad so I hope you can hear me. I have a couple of questions on CareerBuilder. Is CareerBuilder self-funding or are they partners and still putting money into it?
Gracia C. Martore: It is self-funding.
Ken Silver - Royal Bank of Scotland: And has Gannett received or did Gannett receive any dividends from CareerBuilder in 2007?
Gracia C. Martore: No, they wouldn’t be providing dividends, other than what they provide us in an overall basis as a wonderful add-on to our print product buy.
Ken Silver - Royal Bank of Scotland: Okay. As that business grows and it gains a lot of scale, do you think it’s going to pay dividends to the equity owners?
Gracia C. Martore: You know, I think it’s very premature to be having that discussion. I think we’ll want them -- if they can continue to invest those dollars that they generate in robust growth, I think we’ll all be cheering them on to do that.
Ken Silver - Royal Bank of Scotland: Okay, great and then I just had a question, you mentioned in your prepared remarks four states that have obviously been hit by the real estate market pretty hard. I guess at some point in 2008, do the year-over-year comps for those markets get a lot easier or are they still just significantly underperforming and you don’t see any sort of end in site to having easier comps and maybe out-performance?
Gracia C. Martore: You know, obviously our comps will get a little bit easier, particularly in the third and fourth quarters. However, it’s really too early for us to call which way the real estate market is going to go for the rest of the year. So it will be highly dependent on if someone can prognosticate on where the real estate market is going, we can probably help prognosticate where those four markets will go as well.
Ken Silver - Royal Bank of Scotland: What percentage of your revenue are those four markets?
Gracia C. Martore: I think we talked about the fact that those four states represented about 40% of the revenues in our U.S. community newspapers, which is the lion’s share, obviously, of our newspaper segment.
Ken Silver - Royal Bank of Scotland: Excluding USA TODAY?
Gracia C. Martore: Yeah, that would exclude USA TODAY and exclude Newsquest.
Ken Silver - Royal Bank of Scotland: Great. Thank you very much.
Gracia C. Martore: You’re welcome. I think we have time for one more question.
Operator: We’ll take the last question from Ed Atorino with Benchmark Capital.
Ed Atorino - Benchmark Capital: Good morning. What was the first year charge amount from the special charges other than the impairment, the consolidation, and severance? And will those go on at all?
Gracia C. Martore: Well, as we said, they were about $38 million pretax, so that’s about $0.09 or so of EPS.
Ed Atorino - Benchmark Capital: Should they be considered non-recurring items?
Gracia C. Martore: Well, you know, I think that we’re going to have to continue to look at, as we said, where the revenue picture goes and see how we need to size the operations. Some do in the industry and in other industries, classify -- anytime you have something like that as a non-cash charge -- as a special item. We just consider that as part of the operations. Thanks, Ed, and I think that concludes the session.
Operator: Thank you. That does conclude today’s conference. We thank you for your participation and you may disconnect at this time.